Operator: Good morning, and welcome, everyone, to FEMSA's Fourth Quarter and Full Year 2015 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the presentation, there will be a question-and-answer session. During this conference call, management may discuss certain forward-looking statements concerning FEMSA's future performance and should be considered as good-faith estimates made by the company. These forward-looking statements reflect management's expectations and are based upon currently available data. Actual results are subject to future events and uncertainties, which can materially impact the company's actual performance. At this time, I would now like to turn the conference over to Chief Corporate Officer, Eduardo Padilla. Please go ahead.
Juan Fonseca: Hi, everyone. This is Juan Fonseca. Welcome to FEMSA's first quarter and full year 2015 call. As we know, last month Eduardo Padilla assumed his role as Chief Corporate Office of FEMSA after many years leading FEMSA commercial and we are happy to have you here today hosting the call. I know many of you know Eduardo and look forward to the opportunity to chat with him about FEMSA and about his views on the company. So let me just turn the call over to him and we will get started.
Eduardo Padilla: Thank you, Juan and hello everyone. And I am glad to be here today hosting the conference call for the first time. We also have Roland Karig from Coca-Cola FEMSA on the line. Since most of you have already seen our detailed results, as well as those of Coca-Cola FEMSA. We wanted to use the call to try to add some color and some qualitative elements to the discussion as well as to hear some of your views and answering your questions. Hopefully you will find this useful. Before getting to the numbers, we should talk a little bit about the changes we are making to how to present the information for FEMSA Comercio. As you have seen we are now showing separate additions. One for Fuel operations and one for Retail which includes OXXO as well as our drugstores and the various small-format store chains. These should allow you to follow our performance more closely. Also the recognition aimed to the Socofar operations, Socofar from the South America and starting with the first quarter of 2015. We will provide you with some more granular information for the drugstore business as well. Turning to the results, we can say that 2015 was a strong year for our company. At FEMSA Comercio we leveraged a healthy consumer backdrop in Mexico to deliver healthy growth across formats, through passing the 14,000 store mark at OXXO. By the way, in the past recent year we surpassed 13,000 and 14,000 by the end of the year while delivering solid comparable growth for same store sales and expanding profitability. Our drugstore operations continue to develop their footprint in Mexico and we took a meaningful step with our majority investment in Socofar which now presents us with compelling growth opportunities in South America. And we accelerated the expansion of our Fuel business, growing our station count by one-third during the year while building the organizational infrastructure to manage accelerated future growth. For this quarter Coca-Cola FEMSA continues to maximize the tools at their disposal across markets, some of which continue to present significant challenges, particularly Bellevue. The combination of real pricing, improved packaging architecture and improved efficiency of certain adverse foreign exchange environment allowing Coke FEMSA to growth earnings and expand margins. Moving on to discuss our consolidated quarterly numbers, total revenues during the fourth quarter increased 27.5% and income from operations increased 8.8%. On an organic basis that is excluding the results of OXXO Gas, the Socofar operations and Farmacon's total revenues increased 7.6% and income from operations increased 4.1%. Net income decreased 14.4% in the fourth quarter reflecting higher interest expense at Coca-Cola FEMSA as well as lower net income from our participation in Heineken. Our effective tax rate was 29.4% for the quarter within the expected range. In terms of our consolidated net debt position, during the fourth quarter it decreased Ps. 1.1 billion compared to the previous quarter to reach Ps. 57.3 billion at the end of December. In terms of dividends to be paid during the 2016, we will be submitting to shareholders our proposal of ordinary dividend payment of Ps. 8.35 billion to presenting full pass through of the dividend from Heineken -- high dividend from Heineken as a matter of fact and Coca-Cola FEMSA as well as a portion of the free cash flow generated by FEMSA Comercio in 2015, consistent with the mechanics and continuation by business of recent years. This results in an increase of almost 14% over the previous year. We are correcting our commitment to increase cash returns to shareholders as the business allows. We usually take opportunity in our first conference call of the year to talk about our expected levels of capital expenditures. For 2016 CapEx of Coca-Cola FEMSA should reach $680 million, FEMSA Comercio Retail division should deploy approximately $460 million and FEMSA's Comercio Fuel division should invest around $20 million. Having an estimated $120 million for our logistics and refrigeration business will reach a consolidated total of just under $1.3 billion. Moving on to discuss our operations and beginning with FEMSA Comercio Retail division, we opened 520 net new OXXO stores during the fourth quarter reaching 1,208 net store openings in 2015. Basically our projects for the year were around 32 to 33 stores, so we keep opening healthy and profitable stores, as well as 50 gas stores to reach 933 units in Mexico at the end of December. Revenues increased 40.2%, excluding Socofar and Farmacon revenues increased 13%. Also same store sales for the year -- for the quarter were up 8.6%, reflecting a healthy mix of 6% growth in average ticket and 2.5% growth in store traffic. For the fourth quarter, gross margin contracted 140 basis points driven by the inclusion of lower margin Socofar and Farmacon into the Retail division numbers. Currently our drugstore business have lower margins than the OXXO operation. Organic gross margins will have expanded by 110 basis points reflecting the healthy commercial income trends. In terms of operating margin this quarter the Retail division posted a contraction of 60 basis points, again reflecting the integration of the new drugstore operations into FEMSA Comercio. Excluding that impact operating margins would have expanded by 50 basis points reflecting the strong operating leverage at OXXO as well as a solid expense control and lower electricity tariffs that continue to benefit us. On a modeling note and in order for you to be able to replicate these organic margin expansion calculations, we need to give you that that the adjusted 2014 base without gasoline. So, once we do that the adjusted base for 2014 is as follows; Ps. 11 billion for gross profit and Ps. 3.1 billion for operating income. If you calculate the margin expansion using those figures you should arrive at the numbers in line with ours. For this quarter FEMSA Comercio's Fuel division added 34 gas stations during the fourth quarter to reach 307 units at the end of December, representing a 35% increase for the whole year. Such accelerated growth and the fact that so much of our store base is new and has yet to achieve its potential revenue levels are putting pressure on operating margins that already reached 0.3% for the quarter. These are well below our expectations for predicted margins but we are willing to defer profitability in order to maximize growth at this stage. Moving on briefly to Coca-Cola FEMSA, as was the case in recent quarters, we achieved market share and profitability gains in many of its markets. Reduced pricing and a strict expense control more than offset the pressures from generally weaker exchange rates, resulting in a solid set of numbers. In particular, results in Mexico were encouraging and are consistent with a more confident consumer and solid execution. Even as we continue to see the center and south of the country underperform the more dynamic economy of the north of Mexico, which benefits more directly from the U.S. related resilience in manufacturing and exports. Beyond Mexico we are still facing challenging environments, in certain of our key South American markets. While we continue to use the levers of our disposal, such as pricing and packaging, focusing and driving transactions and we continue to see positive results. If you were unable to participate in both FEMSA conference calls yesterday, you can access a replay of their webcast for additional details on the results. Finally let me talk a little bit of our broad expectations for 2016. For FEMSA Comercio Retail division we expect net OXXO openings to continue to be strong and again exceeding 1,100 units. In terms of OXXO sales growth sales goal, we will be facing a more demanding comparison base. However we’re optimistic that we can remain within our long-term expected range of mid-single-digit growth. We also expect to expand our gross store operations in Mexico by approximately 15%, excluding potential acquisitions. While the South American operations should grow in the mid single-digits, organic margins for the divisions should be at stable to slightly expanding. So the Fuel division should continue growing, unit count there approximately 25% in 2016. We should note that PEMEX reduced its price for gasoline by 3% on the total this year and there is the possibility that a further decrease might materialize before the year is done. This puts some pressure not only in our revenues but also in our operating leverage. So we expect operating margins to reflect this pressure during the year. However, and as I mentioned a few minutes ago, this should be transitory and we will continue to privilege accelerated growth to take full advantage of the long-term opportunity. For Coca-Cola FEMSA we expect volumes to grow in the low to mid single-digits with a focus to continue growing transactions ahead of volumes, delivering mid to high single-digit revenue growth and operating income will be above that, while operating margins should expand slightly. Summing up on the perspective of FEMSA, we continue to see many opportunities to drive growth and we are once again cautiously optimistic about the year about the gains, understanding that the strong results of 2015 would present a tough comparison base particularly in Mexico. While we expect this key market to continue to perform well, we will continue to face a challenging macro environment in several Coca-Cola FEMSA’s market and volatility will probably remain high across the board. But as was the case last year, there are many variables within our control and we’ll keep making progress on those and working hard as we always try to do. And with that I would like to open the call for your questions. Operator?
Operator: Thank you, sir. The question-and-answer session will begin at this time. [Operator Instructions]. Our first question comes from Bob Ford with Merrill Lynch.
Robert Ford: Eduardo, could you provide a sense of how Fuel sales are doing on a same-store basis as well as comment perhaps on the mood among independents given the banner changes that are being introduced this year? Also, how are you structuring your gas station integration efforts and could you give us a sense of what percent of selling expenses are costs around the prospecting due diligence in the integration of new assets?
Eduardo Padilla: Well let me try to give you the way we are expanding our gas. What's the basis for the gasoline strategy. The gasoline strategy we are basically incorporating -- we opened some new gasoline stations but that will be probably around 15% of the new openings for the year and the rest will be basically core operators that are hesitant to continue their gasoline operations. They are not willing to sell because they -- these probably gas stations were inherited by their families and we partner with them, we rent the properties, we establish our brand, we establish our procedures. So our fixed investment is relatively low but our rent expense is high. So I think it will be kind of a leverage business with a highest operating leverage. But again with a very low fixed investment and that will -- and I think we -- in those terms we will be benefiting in giving a brand to these new stores, betting for volume growth and the long-term coming up with a profitable operation. So that's the basis of our gasoline operations. I don’t know Juan if you have the same-store sales for gasoline.
Juan Fonseca: Yes. I've actually looked at the number of the recent months and I would say five out of the last six or something like that, I was seeing same-store sales growing more or less in line with we also have been doing, so good kind of mid single digit -- a low to mid single digit type of same-store sales growth. I think to Eduardo's earlier comments we just mentioned that for the year we are planning to invest about $20 million of CapEx which will include changing the image and the branding for the stations, to just to give you an idea that this is not a very capital intensive business. And really when you look at the profitability because we know that this is something that is on your minds in terms of what the margin flow is during the quarter, a lot of that is really that while we are growing at this very fast pace. And you bring over these gas stations as Eduardo was saying from families with the expectation that we are going to be able to increase the amount of gasoline in some cases as we've said before, you can expect to as much as double the amount of gas that you can sell per pump but that's going to take a while. But as you start paying rent and you have a lot of fixed expenses from the get go, so if you are -- you are adding a third of your base on any given year and you have this ramp up, it probably takes you a year or maybe longer than that to get to let's call it cruising altitudes. Certainly the margins are going to be under a little bit of pressure and that's what we have seen this quarter.
Robert Ford: And just on the sentiment issue, I mean given the banner changes that you're about to put into place, right, for your entire store base and the -- I don't know of so much news -- but the pulling forward by eight months of opening Mexico up to imports, are you noticing any change in the sentiment of existing gas station operators? Are they a little bit more nervous? Are you seeing more approaches by independents at all?
Eduardo Padilla: No. Well we have been receiving some calls because we know -- they know that we have been expanding most, but with the recent decrease -- with the recent decrease in price that was established in gasoline there were not many -- we didn't see much from the independent operators.
Juan Fonseca: I think what we have seen Bob, I mean it's a little bit of -- the rules are being -- I don’t want to say they are changing but certainly with the timeframes are moving forward, people generally I think are figuring things out and I would include us in that. In terms of what's announce a couple of days ago of the bringing forward the date to import gasoline and quite frankly a lot of analysis has to be done on the logistic side of it. I mean right now the only pipelines that exist in Mexico and the only storage facility that exists are PEMEX. And so again as you start thinking about can I bring this with a truck, how far from the border, is this economic, can I use rail, can I use ships depending on where my gas stations are. I am sure everybody is kind of looking at these things and figuring out, it's you who can actually improve on whatever price PEMEX gives you and as we said before, this is very much an exercise of scale. So you need to have a lot of volumes to be able to -- to aspire to get better cost structure importing than doing it through PEMEX. So I know there is a lot of moving pieces. I think people are crunching the numbers, doing the analysis. I think to your question on sentiment, generally we have to be looking at the newspaper or watching TV to figure out what the new change on the timetable is. I am sure people are a little bit more just cautious, but it doesn’t really change our own timeframes or the overall expectation of how this business is going to evolve on a multiyear timeframe.
Robert Ford: And then just on the signage that you mentioned, have you piloted the new signage anywhere yet or -- and when do you expect to roll it out to your existing store base?
Eduardo Padilla: We haven’t piloted it yet, although we have done a little market research and so probably as we’re in the process, probably launching it by the second -- by the third or fourth quarter of this year.
Juan Fonseca: So I think that’s a second half of the year that you should begin to see some of our stations there. But the signage, it's pretty much done.
Eduardo Padilla: But again as I said because if you are not a franchisee of PEMEX then there will be some margin pressure on those particular franchises. So again it's something that we’re learning and again the way we do it in FEMSA Comercio is that we pilot everything. We try it, we try it again, we make the improvements and then we launch it. So it will not be a major launch, it will be little by little and learning throughout a very slow journey curve to tackle that market in the best way we could do.
Juan Fonseca: I think there are a lot of good points. If you have your own branding in a particular gas station that means you’re not a franchisee of PEMEX for that one which means you lose a little bit of a margin. So what you need to test is this differentiation, having my own brand, my own image, my own color scheme, if it's helping me increase my revenue to the point where it's a better proposition than staying with PEMEX and we’re going to find that out.
Eduardo Padilla: Currently our brand OXXO Gas is incorporated within the PEMEX franchisee and the other alternative which are the ones we’re talking about is just launch our own brand without the relationship that we currently have with the PEMEX franchisee.
Robert Ford: And what’s the incremental fee you pay if you go with your own signage?
Eduardo Padilla: It's a few basis points, but it's [very little]. When you are talking about thin margins, everything managed.
Robert Ford: Yes. Okay, thank you very much. It's very helpful.
Operator: [Operator Instructions] We’ll take our next question from Luca Cipiccia with Goldman Sachs.
Luca Cipiccia: There's a lot of things to talk about, but I'll ask one about the drugstores. First, I wanted to confirm, I'm not sure I understood, you said 15% or 50% in Mexico in terms of development?
Eduardo Padilla: 15%, one-five, Luca.
Luca Cipiccia: 15%, okay. I thought it was a bit much. But then my question was also, you said you are going to just give more details, but we have seen now this disclosure between Retail and gas. Are we going to get at some point an additional separation between convenience and drugstores or at least a geographic tracking so that we can separate Mexico now with Chile and everything else? And then you commented on the expansion plans outside of Mexico. Should we continue to think about your existing markets, expanding maybe Colombia, or should we consider this more broadly? And lastly, related to this, on your CapEx breakdown, the Ps. 120 million in logistics, how much of this is related to the scaling of the drugstores, how much may be related to gas and maybe what are you doing there for in terms of meeting these investments?
Juan Fonseca: Luca, this is Juan, let me start and then I will let Eduardo fix up where I start running out of answers here. In terms of drugstore disclosure, we have yet to finalize our own analysis in terms of how to present this information in a way that is, it doesn’t create incremental problems from an operational standpoint in terms of competitors or suppliers things like that. But also that it gives you more granularity. Probably what will end up happening is that we will provide you starting in the first quarter with a simplified income statement much in the way that we started with gas a year ago, providing you with a few lines so that you can look at margins and how margins evolved for the drugstore business. I don’t think at this point we are thinking of splitting geographically, because quite frankly, the South American operations are so much larger than the Mexican operations. I don’t have a number off the top of my head, but it's probably something like an 80-20 in terms of Socofar versus the Mexican operations. So we feel that if we gave you just a few incremental information, within the Retail division -- so we are not talking about creating a third division, within the Retail division, provide you some more numbers on drugstores not split by country but in a way that you can look at the margins of the drugstores and see how they evolve. And also I guess cleaning up or this will allow you to clean up the numbers for OXXO so that you can -- if you look at what's happening for the margins of OXXO without our having to tell you what the number is and you having to make kind of a leap of faith that the number is just accurate.
Eduardo Padilla: It's very sensible.
Luca Cipiccia: I support the decision.
Eduardo Padilla: In terms of the expansion of the drugstore, the reason is what we are planning to bring is that Socofar is a very stable company in Chile and the major growth opportunity that Socofar currently has there be some opportunities in Chile and I think with our -- the way we expand stores and also here in Mexico, that technology we are in the process of transferring those capabilities to Chile. So those will probably enhance the opportunities for the Chilean growth. Currently we are in the process of doing so. The major opportunity for growth for Socofar really in Chile is Colombia and I think Colombia presents a very interesting market. So the opportunity for Socofar mainly would be in Colombia for organic growth. There might be some other opportunities in organic growth in some other markets and we are cautiously thinking about it and on the spending about it. But there may be some opportunities where Socofar -- the capabilities of Socofar could be leveraged in some other countries in South America. Then in terms of break down in Mexico we are still expanding our store base by expanding to new stores and also probably by finding some small chains in Mexico that could be integrated into our Mexican system. This year we are in the process of establishing our common framework within our chains so we could integrate the operations of all of these chains and leverage from that more in the commercial terms but also in logistics and capabilities in that point of sale. So those are the things that we are doing currently.
Luca Cipiccia: Does this mean that we should rule out larger acquisitions in Mexico for drugstores?
Eduardo Padilla: Not larger, the one that we are seeing is a small acquisition of a small chain, regional chain where we could enhance our footprint within Mexico.
Juan Fonseca: So I think we have discussed before Luca how if you look at the map of Mexico we have begun to build some critical mass in the extremes. We have some critical mass in the southeast. We have some critical mass in the northwest, but basically no presence in the center which is as you know where most people live. So there is definitely an appetite to look for small regional chains in Central Mexico as well as beginning to open organically in that part of the country as well.
Eduardo Padilla: On the second point of your question in terms of the CapEx for logistics and this is really more -- I mean if you remember the logistics business has evolved, where it started it's a business that provided service to our own operations and then several years ago we had really started diversifying or using its spare capacity to use -- to serve third party clients and its now gotten to the point where the third party component is at large as it is let's say the family component in terms of both Coke and OXXO and Heineken. And we've added some capacity in Brazil. We've added some capacity in Mexico. And so in most of this CapEx really goes to I would say pursue third party clients at 3PL player, kind of third party logistics operator basically focusing in Mexico and Brazil.
Luca Cipiccia: Okay, terrific. Thank you very much. Thanks for the answers.
Operator: Our next question comes from Antonio González with Credit Suisse.
Antonio González: Thanks for taking my question and congrats on the appointment, Eduardo. I guess my question is a big picture, what are the main two or three elements that you could share with us of what are your mandates in this new role? And I guess specifically -- I guess it's almost like an obvious question, with all of your expertise in FEMSA Comercio in the last several years in Mexico and with Daniel's expertise in South America, as part of your mandate should we expect to see one of the main strategic priorities to be more M&A in small boxes in South America? And if so, is there anything that would be particularly interesting for you, I don't know, Brazilian drugstores or something like that? And then just finally if I may, just one small technical question. When I look at the consolidated results and I subtract Comercio and Coke, it looks like Logística had a negative operating profit this quarter, operating profit and EBITDA. So I was wondering, if you can explain what happened here and what are your expectations for 2016?
Eduardo Padilla: Very good well thank you very much Antonio. Basically well I'm very happy in this new position. I was -- when I came to FEMSA, I came in strategic planning for the very first three years and then I went for operations for the next 16. So I am getting back here to you start and I really think my goals would be to enhance opportunities for the corporate as a whole and probably to be more connected with the operations, with the sensitivity of the head operations and the roles of corporate headquarters be more integrated with the current operations and probably eliminate some redundancy or leverage some other capabilities that we have within the corporation. The other one is that really I think one thing that we will trade in OXXO we’re very happy about is the way we work together and the culture. And I think culture could be a major enabler for FEMSA in other divisions and probably from this position I will be able to help to incorporate those things in the future. In terms of our medium and long-term strategy for FEMSA Comercio and expanding the move for some of the small format retail operations in South America or in Mexico, I would tell you that really FEMSA Comercio have the capabilities and we understand that we have those capabilities to do things with small format retail. And so far with the current operations that we have already convenient stores, drugstores and gas stations. And there might be some other opportunities but I think again it has to be how can we serve consumer needs in different ways and we should expand our OXXO proposition and those consumer needs or we better factor that in a different format. And I think those are the things that probably now in drugstores we are really going after health and wellness. And health and wellness are some needs that OXXO didn’t serve and I think the learning opportunities that OXXO again was to come to a new need with a very similar approach in operations that is really probably is helping us to give us some other growth opportunities for OXXO. And I think as long as we keep it to our capabilities and see that those marginal expansions of consumer needs could work together I think we will go in favor of those. I don’t know if you would like to expand in the logistics.
Juan Fonseca: Let me take that the question on Logística. I mean doing the analysis that you did, Antonio of taking the consolidated numbers and then subtracting Coke FEMSA and then FEMSA Comercio as we discussed in the past, it's a kind of a broad brush way to get to the Logística numbers because embedded there are the results of the corporate -- the cost of the corporate operations. Certainly you’re right, I mean directionally the quarter was not a good one for Logística particularly in Brazil. I mentioned a few minutes ago we’ve increased our exposure to Brazil. We think it's the right time to do it. I mean we’re now -- the macro environment in Brazil is soft but as many people would say that that’s the right time to be looking for growth and acquisitions in that territory. So, certainly what you see in the numbers has a chunk that comes from the Brazilian operations of Logística. I would also say that in a smaller dimension but within the corporate expenses we have been getting ready for growth. As we discussed for the last many quarters from a capital deployment some of the challenges that FEMSA faces in terms of putting to work a very healthy balance sheet which from the way that we look at things it requires a lot of thought, a lot of analysis, it requires talking to bankers from time to time, talking to consultants, bringing people to reinforce the team and all of these things cost money. So, I think that’s also been reflected in the number that you’re seeing.
Antonio González: Got it. And you expect 2016 to start trending up or should we expect the next few quarters to see the same dynamics in I guess FEMSA Logística plus corporate expenses?
Juan Fonseca: No. I would say Logística, I mean to the extent that Brazil really now eventually begins to improve I think you will see that in the Logística numbers. We also have a big operation in Mexico and that should continue to do well. So I mean it hurts me to say whether this is the trough, I would expect the next few quarters to probably have similar dynamics. On the corporate side, I think it's more of a onetime thing where you have all these projects that are not necessarily replicable or structural in nature. So I would expect the number to improve gradually.
Antonio González: Great. That's very helpful. Congrats again, Eduardo.
Eduardo Padilla: Thank you.
Operator: We’ll take our next question from Benjamin Theurer with Barclays.
Benjamin Theurer: Very good morning. Thank you very much. I have a technical question, more to the consolidated results actually related to the full year. So you have that other non-operating expense income line which used to be, well, just a little bit of noise, plus minus. But obviously during the fourth quarter it had kind of a negative impact here and also for full year it kind of exceeded the past range we have been seeing. Could you clarify a little bit more of what part of that non-operating expense would you recognize here for the consolidated basis? Because it seems to me that looking on what's coming at least from costs clearly has a more important part here. It's not all of it explains. So just to get a sense if it's the logistics part, is it the gas station part or is it part of the Comercio or the M&A strategy? Just to get a better sense of where this is coming from and what to do with that line going forward? Thank you very much.
Juan Fonseca: Hi, Ben. This is Juan let me try to take it. Quite frankly the vast majority of the impacts comes from Coke FEMSA right. We are talking about things that has to do with Venezuela and generally most of the impact comes from Coke FEMSA, there were other legal expenses and some nonrecurring charges. But the bulk of it really comes from Coca-Cola FEMSA.
Benjamin Theurer: Okay. So going forward you expect the noise to disappear again because it's really like a strange thing; it was a nice income in past years and now it has become a quite meaningful expense of about Ps. 1 billion for the 12 months period?
Juan Fonseca: Yes I think most of these things should be one time in nature. I would not think these to become recurring.
Eduardo Padilla: Unless the Venezuela thing dips.
Juan Fonseca: Well, yes.
Eduardo Padilla: Clearly but it's very low.
Juan Fonseca: I mean I wouldn’t change in terms of the modeling. I wouldn’t expect these things to occur but certainly it was a tough year for Coke FEMSA in terms of that particular line.
Benjamin Theurer: Okay, perfect. Thank you very much.
Operator: Our next question comes from Alex Robarts with Citi.
Alex Robarts: Good morning everybody. I guess I would like to go back to the core business at Comercio and my one question relates to OXXO. When you look at the year same-store sales really gets up above your long-term stated guidance of mid-single-digit, I guess 6.9% was the full year number. And a lot of that comes in from the recovery, right, in traffic in the second half of the year, right. So we have had this low single-digit -- solid low single-digit growth in traffic in the last couple of quarters. As you think about this year, you have mentioned that the comps become a little tougher. But I guess the question is really twofold. What do you think has kind of been behind this recovery in traffic for the last couple of quarters? Is it a combination of the success of Saldazo, partly also reflecting gas station. I mean it was many quarters where that traffic was pretty anemic. And so kind of the first part of the question talking to us a little bit about how you think the traffic can evolve this year and what have been kind of the more recent drivers of that? And then when we think about -- I guess reverting back to this mid-single-digit growth of same-store sales, it basically implies a comp issue. But how do you kind of think about the mix ticket versus traffic, right. So last year about a third of the same-store sales growth was traffic and two-thirds ticket. I mean is that kind of a way that we could think about it this year? And so any comments around that would be very helpful. Thanks.
Eduardo Padilla: This is Eduardo. Let me give you some details. First the one thing that is really affecting both -- the traffic is coming strong but really what really being able to come is to build our -- we have six consumer needs that we tackle and the one that we've been outstanding lately is replenishment and pantry deployment that is the very last need of a user. We've been trying to tackle housewives and to buy some of the purchases that probably before they never thought of OXXO and now they are thinking of OXXO in those terms. We have some plazas where we've been growing those categories at a 15%, 30% and 40% of same-store sales rate. And with that I think the more that FEMSA Comercio could expand capabilities in other needs, the better it will be for the future. And I think yes the Mexican economy played a very important role for the group in 2015. But in the other sense that we've been able to expand categories like services that will be complimenting the fall of telephone services. So I think those things combined you can see that the growth we have had. Basically the growth started last year in May-June so I think I would see probably still some nice growth for the very first semester and we have more difficulties in comparable terms with the -- in the second semester because the second semester of the past year been such a good year. Now we have to do better things to keep growing, but I think FEMSA Comercio has the capacity to do so.
Juan Fonseca: I think traffic is coming. We talked in the past for a number of quarters of how much pressure we were seeing on the traffic coming from the fall in the telephony category right. The prices were coming down, people were being able to speak for more -- a lot more minutes on their cell phones without having back -- without having to come back to the stores to get more minutes. I think the daily replenishment category that Eduardo mentioned and certainly the services categories, financial services in particular, they have been growing nicely for a while now. But for a couple of years we couldn’t really see their impact on traffic because of telephony. Telephony was obscuring the growth of these other categories. And now as telephony has become a lot less relevant because it's falling by less and it's a smaller base, it begins to allow the other categories to shine and to have this double digit growth numbers that Eduardo mentioned. Now in terms of expectation for composition of ticket versus traffic, it's really kind of hard to predict but I would say anywhere from a quarter to a third of the same store sales number ideally that comes from traffic. I mean I think that’s aspirational that is what we would like to see.
Alex Robarts: Okay. Okay, now listen -- that is helpful. The last clarification here, Ahorro del Basicos, right, these basic products that OXXO kind of started to rollout over the last couple of years, are you including that in this daily replenishment need?
Eduardo Padilla: Yes, yes, yes. We do, do that, the Basicos del Ahorro. We have been able to -- because now we have been very aggressive in pricing in those items and is counterintuitive because typically any convenient store anywhere in the world those items will be priced very high and the price has the content of convenience. Here with us we brought it differently and thank God now because of the volume that we are displacing in those terms, I think the bet we did in reducing the prices margin wise, natural terms we are bared of now that we were two or three years ago. And because of that now the consumer thinks and the price perception of OXXO is that we are -- that we have a better price perception that we were not in those categories, but in some others that we haven't played that game. So I think we are -- it's been very helpful.
Alex Robarts: I think the strategy has played off on that and is it fair assume that this Basicos del Ahorro kind of sub category I guess that's what we can call it. Is it fair to assume that it's roughly 10% of the portfolio or is that kind of too high of an assumption?
Eduardo Padilla: No, I think it's kind of too high.
Alex Robarts: Okay, okay. All right thank you very much.
Eduardo Padilla: But we will be betting on that and I think I’ll -- well I don’t want to say when but I think -- I hope we -- the 10% is a good number for us.
Juan Fonseca: Yes, I mean you have seen before Alex, some of the presentation materials that we use regularly and how -- when we talk about consumer needs we use different colors kind of depending on how good we are at something or how from the mind of the consumer I mean if you think about thirst and you think about craving and we usually present those in green because we are pretty good at that. And when people think about when people are thirsty and there is OXXO around nine times out of 10, we are going to be their first choice. I think for Basicos del Ahorro and daily replenishment it's still on the kind of the red end of the spectrum or the maroon end of the spectrum where we are really just becoming better. And I think capturing a little bit more share of minds especially for the housewife or the country loading where they are just realizing gradually increasingly but still early stages realizing that they can find these things at OXXO and that the price is going to be in line with the supermarket.
Alex Robarts: Okay. Got it. Thank you.
Operator: Our next question comes from Jeronimo de Guzman with Morgan Stanley.
Jeronimo de Guzman: Good morning and congratulations, Eduardo, on the new role. I wanted to ask about the margin expansion for kind of the organic retail business and I'm not sure if I'm doing the math right just because of the year ago comparison. But I was getting a 70 basis point expansion in margins when I exclude Farmacon and Socofar. So I wanted to confirm that? And then second, just kind of wanted to see what is helping drive this level of margin expansion, if it is just kind of continued execution on the commercial initiatives, the other promotions, things like that or if there's anything new that helped get to that figure?
Eduardo Padilla: I think the margin expansion really comes from the same store sales and these new categories that we are incorporating. And I think one that you should take into account in detail will be services. I think services are still growing very fast and now I think for every dollar that we sell in merchandize we collect $0.60 of money from other people that doesn’t belong to us. So let's say if the cash at any given store is 1.6, one comes from the sale of inventory of products that we are -- that is belong to us and the other $0.60 comes from services of people that are trusting us and I think really that’s coming strong and even though the margins are very low. But in absolute terms and since we only charge the margin because we don't sell anything with low cost, so that increase the margin and you don’t see the transactions because we don’t sell anything. We just charge the service and that service fee adds a little bit to the margin expansion. I don’t know if you want to give further details Juan?
Juan Fonseca: Jeronimo, it's Juan. We started talking last quarter about how OXXO was very proud of how they’re being able to do promotions on a shorter term. So in addition to the four week periods that we usually work with suppliers to introduce new products or new flavors or just do bundles and things like that, that OXXO is now in a position to do kind of weekend in and out type of promotions and increasing their capabilities. And of course this is how things that can be monetized. So I think it's a combination. I mean we have very strong same store sales which gives you a lot of operating leverage. The services category has been growing double-digit as Eduardo was saying and especially the financial one. And we’re being able to increase the commercial income part of it, coming from promotional activity with suppliers which is, it also -- when you look at the gross margin which is where initially our expansion starts, those things are very accretive at the gross levels. So, you take that and then in addition to that you have electricity costs still kind of on the helping side. So once you get to the operating line and the EBITDA line all of those things are definitely working in our favor. And I would caution everybody on the call that these are not the number that I would put in a model for the future. I mean this is a very good span of time, this was a very strong year. Usually we talk about expanding margins, maybe 20 bps, 60 or 70, I mean we’ll keep it up as long as we can. But it's not like the new normal.
Jeronimo de Guzman: Yes, it makes sense. Yes, that was interesting that number you mentioned about the services versus merchandize breakdown. I was wondering, if you have a sense of how much further you could push that? If there's any benchmarks that you would look at in terms of where you could be? And then I also had a question. Besides that on the pharmacy business, I was kind of doing similar math, getting to about 6.5% margin for Socofar. So just kind of wanted to get a sense of whether -- kind of how much opportunity do you see for that margin to get closer to what you see for the overall OXXO business and how quickly you can close that gap?
Eduardo Padilla: Well, we’ve been modeling our service fees and transaction fees that we -- and seeing from numbers how much we can grow and I think really we can grow a lot more, because I think with this liquidity that we have of having 14,100 stores everywhere. We’re becoming in some faraway places let's say in small towns, really we’re becoming a service provider because there are no banks in those towns. So probably I think we are -- I do see that growing still for some bit of time. There might be some services that could die because of Internet and enabling capabilities but some others because Mexico is a very cash society and because there is so much cash in the society, OXXO is a great way for people to dispose their cash or pay their services and I think we see that growing and probably in four or five years time -- four years time, probably Ps. 1 will be for inventory and Ps. 1.5 will be for service or Ps. 2 will be for services. I am talking about the cash in the cash register. That will be my view but I don’t know. I am very optimistic on those things. I don’t know if you want to comment, Juan?
Juan Fonseca: I mean the one thing that I would add is, yesterday actually I was having a conservation with Eduardo and he was stressing how -- the success of OXXO comes -- or had come not from a big bang that suddenly we found the silver bullets to create value. That is really a history of very, very small increments of finding and testing things and then once you find something that works you will replicate it and of course scale has become very important. But this trajectory of all these improving and extracting a little bit more out of things and finding new things that you can do. I mean to your part of the question on South America on Socofar, you’re absolutely right, I mean 6.5% EBITDA margin is exactly what the number was when we bought the company and so right now that's still at the same level obviously. We have only had the business or we’ve been partners with Mr. Harding for a few months. I think the expectation is that we’re going to try to do the same things that we have done elsewhere which is find ways to improve, see where the growth is, get more scale, and put more things through the store and to Eduardo's optimism, I think there is potential there. Obviously, that's why we bought it, right.
Jeronimo de Guzman: Okay. Thank you.
Operator: Our next question comes from Mauricio Serna with JPMorgan.
- Mauricio Serna: Just on the more technical note on when you just mentioned about the margins in the convenience stores how much of the 70 basis points would you say came from the gross margins? And then now shifting more on to the sales, I just want to check how the first quarter has been so far, what is the trends that you are seeing for comp sales? Do you see them like in line with what has been put out by [Ancard] on January or how is it looking traffic and ticket? And also just if you could remind us your CapEx guidance. You provided like a breakdown. If you could just do a recap on that?
Juan Fonseca: Hi, Mauricio, this is Juan. Let me start with the gross margins, if you -- at the gross level the expansion for the Retail -- for the OXXO business would have been 110 bps, which is massive and again not entirely replicable. So you have a 110 and then as you go down the income statement you get to the 60 to 70 level that we discussed a few minutes ago. In terms of trends I mean I don't think we're seeing any major change. Usually over there when you look at the Ancard numbers and look the specialized stores there is certain correlation between that number and what we usually do. Also when you look at the numbers that other big retailer provide on a monthly basis, there is always some correlation to what we're doing and we're not seeing -- for the start of the year we're not anything massively different from what we saw in fourth quarter. Although, as Eduardo said a few minutes ago the comps are going to start getting tough especially in the second half of the year. In terms of CapEx, I mean, we mentioned that in the opening remarks but let me give you the numbers again. For Coke FEMSA we are seeing $680 million.
Eduardo Padilla: For FEMSA Comercio $460 million Retail, was around $20 million for OXXO Gas.
Juan Fonseca: And $120 million for the other businesses. So it gets to about $1.3 billion for the whole thing.
- Mauricio Serna: And also just -- do you have like an expectation for organic growth of the Socofar operations?
Juan Fonseca: I mean we are saying mid single digit for the whole thing. We're still trying -- when we have a little bit more granularity we'll provide it. Obviously Chile is the pretty mature market. And as Eduardo said a few minutes ago, a lot of the organic growth is probably going to come in Colombia and I also I think the beauty stores have a good potential for organic growth. But right now I would just kind of look at the mid single digits. And to the extent that we can -- not just fine tune but communicate that as we go along we'll be happy.
Eduardo Padilla: And as I said probably in Chile, there might be a potential to observe the Chile market with different eyes. And probably because we have the capabilities that we might bring to Chile there might be some opportunities to the current Chilean market in a different way or attacking the market with a different format and to complement the current format. So there might be some opportunities. But I don't see those coming this year, really. I will speak to what Juan Fonseca has just mentioned.
Juan Fonseca: This is one step at a time.
Operator: Our next question comes from Chelsea Konsko with TIAA.
Chelsea Konsko: Just a couple of quick follow-ups on a couple of items that were discussed earlier in the call. On the Logística business, is it actually EBITDA negative currently, and in a related way, is the free cash flow negative as well and kind of when is it expected to breakeven if indeed it is? And then my other question is just again on the opening up of gasoline imports that was announced a couple of days ago. I know it will take time to figure it all out, but is the objective for you to at some point import gasoline as well since you will no longer be required to buy it from PEMEX? I'm just trying to get a sense of do you see this as a net positive or a negative in general?
Eduardo Padilla: Let me tackle the import thing, the import for gasoline in Mexico. Currently there is no infrastructure ready to import gasoline in border towns and our presence in border towns is very small. So I think what we have to build, is to build the capabilities to leverage our gas station operations. We're in the process of learning. So I think those things -- again we will be very cautious we'll how to leverage our purchasing power and in order to start importing things. But I think process there is a learning curve and we're learning it and now that the government has opened the opportunity earlier, we will just have to be more and more aggressive and start doing some pilot testing to understand the business better. Everything in FEMSA Comercio comes to test idea, to test conceptual prototypes, to test pilots and then deployment. So basically we will be using the same framework that we would be using in OXXO, in drugstores and will be using that also for gas stations. Juan you want to comment the Logística.
Juan Fonseca: No. Even though as you are ramping up on the gas station, I mean, I think just big picture it has to be a net positive that you will now have as a chance to import right. The onus is on us to develop the cost structure under the capabilities that Eduardo mentioned to see if we can bring the -- I mean first of all who do we buy it for, at what price, how do we bring it to our stations in Monterey or to our stations in other parts of Mexico. And I think there is a possibility, a clear possibility that we will be able to come up eventually with a cost structure that is lower than buying from PEMEX. But then if that's what the market is doing then PEMEX might adjust its own prices. I mean it's just the basics. So I think the more competition you have the better it is for the market place. So it's going to take a while and we do have to get off that learning curve but it's definitely a net positive. Now on the logistics front, I mean the logistics business is definitely profitable. It's profitable and it generates good returns and that's why we are investing in it. I mean there is…
Eduardo Padilla: Cash flow.
Juan Fonseca: Yes and cash flow positive for sure. The philosophy of how we invest at FEMSA and how we allocate capital has a lot to do with creating positive EVAs and generating returns well in excess of the cost. That's how we believe we create value and that's also how we get paid as a management team. So the decision to retain the logistics business as opposed to divesting it which over the years, we've sold a lot of operations -- let's say ancillary operations, packaging, cardboard, lots of things that at some point were part of FEMSA because it was very vertically integrated company. And then of course as the marketplace has evolved and we have been able to acquire these things in the market place, we've sold many of these things but we chose to retain the Logistics business and the commercial refrigeration business because they make a lot of money and they have good returns and we are pretty good at those two activities. So I think what we're seeing in the numbers is definitely a blip. As I mentioned it is related to Brazil in a big proportion and obviously Brazil it is what it is and eventually things will turn up. But definitely this is a profitable business, a cash flow positive business. Eventually when it becomes large enough we will see if it begins to make sense to disclose a little bit more of that information. But for the time being we are very comfortable with the way things are.
Chelsea Konsko: Got it. Thank you.
Operator: Our next question comes from Gabriel Lima with Bradesco Bank.
Gabriel Vaz de Lima: So, Eduardo, Juan, it's just two quick questions. The first one is, we were surprised with the interest expense. This quarter it increased at Ps. 900 million. And you mentioned of course it's because of Coke FEMSA. And you mentioned the reset of some swaps in Brazil. So is it fair to assume that this interest expense of yours increased by this amount going forward or it's more related to some one-off expenses related to the reset of the swap. So I guess it's fair that most you had some one-off expenses, but I think it was related to other non-operating expenses on the previous question. So I just wanted to make sure how you are viewing the interest expense line going forward? And the second question is, going back to gas stations, you gave us some color on the pharmacy openings. But I'm doing some math here. I just wanted to check if I'm correct. I remember in the second quarter you had 227 stores and now you are closing the year with 307. So it seems that you are opening 40 stores per quarter. Is it a fair assumption for store openings going forward? Thank you.
Eduardo Padilla: Let me go back to the gas stations, I think we opened this year around say…
Juan Fonseca: Almost 80, right.
Eduardo Padilla: Almost 75 to 80.
Juan Fonseca: Yes. So it's 84 the full year Gabriel.
Eduardo Padilla: And probably we would stick to that number for next year. We closed the year with 307 so probably 75 more gas stations next year -- this year, I think that would be on line with the current expectations that we have in terms of conversions.
Juan Fonseca: Yes. We mentioned in the opening remarks, we grew about 35%, so from the 227 you add 35% to that and those are at almost 80 stations that we add in and I think to Eduardo's point that's what we should expect to see in 2016. Of course as we discussed in the past, I mean there are some medium size groups out there, groups that are having 20 to 30 gas stations which if have we are fortunate and surely not to do one of those deals, I guess there is a little bit of upside to that number. But base case I think you should expect something like the number that Eduardo mentioned which is it works out to about 25% of the current base. On your question on the interest expense it's definitely onetime and it's definitely lead to this thing with the reset of the swap which flows in a couple of different places of the income statement. It flows in the interest expense and it also flows in the foreign exchange line and I guess it's a little bit disruptive I guess for this quarter, but you should not expect going forward. I mean in terms of the leverage that we have and the cost of debt that’s relatively easy to model, because as you know we don’t have that much debt and what we have we swap it to local currency and we fix the rates, so it becomes very easy to model.
Eduardo Padilla: Yes, I think the only dollar exposure that we have is in Coca-Cola FEMSA and there is none in the holding company and FEMSA Comercio everything is in pesos. So Mexican pesos or Chilean pesos with the asset of Socofar so basically I think we are very well covered.
Juan Fonseca: The $700 million which is now $650 million of exposure at our Coke FEMSA that will be the only exposure to FX in that part of the income statement. But everything else as Eduardo said it's in local currency and fixed rates so no surprises there.
Gabriel Vaz de Lima: Okay Juan, thank you, thank you, Eduardo.
Operator: Our next question comes from Pablo Vallejo with Scotiabank.
Pablo Vallejo: I just have a quick follow-up on the financial services. Can you please remind us or give us an update on your numbers for Saldazo, how many debit cards you have up to date? And also very interesting to hear that you expect looking forward of course Ps. 1 from inventory and Ps. 1.5 from financial services. Just can you give us a little detail or just some clarification on what within the next year you would be looking forward to expand in these services other than debit cards to complement the offering? Thank you.
Eduardo Padilla: Yes. Let me first, on the Saldazo account, it's limited. But when you say the cash that goes into the register, I said Ps. 1 comes from inventory and $0.50, $0.60 comes from services. Not Ps. 1.5 you referenced.
Pablo Vallejo: Right, right.
Juan Fonseca: Of the 1.5 or 1.6, 1 is inventory sales.
Eduardo Padilla: And the other one is money that doesn't belong to us but we being the cashier to receive that money either from being the service or making a deposit in a given bank.
Juan Fonseca: And it's not just financials, right I mean that would include bill ticket.
Pablo Vallejo: Understood.
Juan Fonseca: Airline ticket and those profits are not reflected neither in the income statement, because it is not money that belongs to us, we are just receiving the money and passing it through either to the bank or the service provider. And there obviously will be a lot of complexity that comes from that because, if you look at for example, the number of trucks that have to come to the stores to pick up the cash and take it away and how that has increased. I mean obviously that has happened everyday more often right because we are generating more cash. But yes, so that was a clarification. The other question that you had was on Saldazo. We closed the year with 3.2 million accounts. And the run rate at the end of the year -- at the end of last year was about 200,000 new accounts per month. I haven't seen the data for January but that’s kind of the speed at which these things are being opened.
Eduardo Padilla: And a very good thing about Saldazo is that the incidence of the usage is very high. It's around 50%, 60% and which compares in very good ways with other debit cards, I think our card is being used by the consumer.
Juan Fonseca: Yes, I think generally I mean if you think about who are consumer is or who the typical holder of Saldazo card is, these are consumers that don’t have a lot of accounts with a lot of banks. This is a one…
Eduardo Padilla: We are incorporating a lot of people to our banking service but before they were not -- they didn't have access to it. So I think in a way we are making a social impact, a very good social impact into the Mexican consumer. And then allowing also some opportunities for the future.
Pablo Vallejo: Great. Thank you very much.
Operator: We have a follow-up from Luca Cipiccia with Goldman Sachs.
Luca Cipiccia: Thanks for the opportunity to ask a follow-up. I wanted to ask two things, one on the gas station. You said how -- what you are looking is really to bring value to consumers, whatever that may be, in the different markets. And my question is, as you now enter and familiarize and scale in the gas station business there's probably a greater link between that type of operation and convenience in other markets outside of Mexico. And in the past when we discussed about bringing OXXO outside of Mexico, you actually emphasized how it worked somewhat differently, for instance, in Brazil because of this type of channel and some of the other sort of more fragmented channels there. So my question is, is it fair to think that as you bring this convergence more closely, convenience and gas stations, there could be ways for you to break, let's say, the convenience channel through that format in other markets outside of Mexico, not necessarily from the gasoline side, but developing a brand or running the operations within the gas stations of other formats not only in Mexico? Is this too far of a stretch? That would be my first question. And then secondly, just a quick one on Heineken and maybe you can take this offline, but I wasn't able to reconcile fully what they reported and what you disclosed. So I think your numbers came in significantly lower than what I had even given the currency benefit that you should have recorded. I don't know if there's anything just me doing the math wrong or if there's anything there that we should take into account? This will be the two follow-ups.
Eduardo Padilla: On the very first question is really I think you are really putting us a great challenge for the future, but I don’t see that’s coming neither this year nor the other year. Because I think really what we have to say to have a very stable and understand how really the gasoline operations work, how to play with pricing, how to work revenue management and understand the business well and see really the real connection that we have in gasoline currently, the gasoline operations and the Retail operations are different organizations. And the current gasoline operations that we have here in Mexico are full serve gasoline operations with a lot of people and that’s why we have to manage two operations that report to different people although they do talk to each other but they do have different income statements. I don’t know if you want to provide?
Juan Fonseca: I think there is an element of being opportunistic in terms of Mexico. I mean the changes to the legal framework, the whole energy reform, the fact that we already have 2,500 OXXOs located people's gas stations. And so when these changes come about we already have the certain level of comfort that it is something that we could try and kind of getting through the business with both feet. I would say never say never but thinking about other countries right now, does sound a little bit premature. Having said that, a few years from now once we become experts at the whole gas station thing maybe you will get a different answer. But I would say right now and with full confidence right now we’re not looking at gas stations outside of Mexico. In terms of your question on the Heineken numbers, maybe what’s happening and obviously we can talk offline but if you remember the quarterly numbers are tricky because when we report the second quarter of any given year we have to use the same number as we used in the first quarter, but with the exchange rate of the second quarter because Heineken reports late. Heineken usually reports their first half in August and we have to come out with our numbers in July. So, we use the proxies for the second quarter and then the third quarter is an actual number because we get the Heineken's number with enough time. But then the fourth quarter number is a plug, it's basically the adjustments to bring the full year numbers in line with the actual full year number. So, that might be part of the confusion. If you look at the full year number it should match exactly whatever Heineken reported a couple of weeks ago.
Luca Cipiccia: Perfect. And lastly if I may -- I mean the last question on the Heineken front. Maybe the one question that hasn't been asked is how the recent development at the Coca-Cola level, the recent message about disposing more of the assets globally and in the U.S., specifically makes you think about potential participation? And more specifically, should we continue to assume that any participation in the Coca-Cola system more broadly will have to go through Coke FEMSA only or given the scale of what's happening at Coca-Cola, we could consider investments in different forms at different levels, even not necessarily only through the Coke FEMSA vehicle?
Juan Fonseca: I think Luca we said before that our exposure and our investment in the non-alcoholic beverage sector happens through Coke FEMSA. We’re very comfortable with our level of exposure. We fully expect Coke FEMSA to grow a lot, both organically and through M&A and that’s how we grow our exposure to the Coke system. I think ideas about having FEMSA swap the Heineken investment into Coke’s shares which are we know -- we know that this thesis is out there in the market and there is some merits to -- if you just think it from a portfolio manager standpoint you say, well I have had a good run with my Heineken shares. I am going to sell them and then buy something that I think has the more potential for price appreciation, then I don’t know. I mean we’re not portfolio managers. Certainly from an exposure to different industries from a diversification standpoint from the way that we’re structured, our exposure to the Coke business you should expect to happen at the Coke FEMSA level. We are happy holders of Heineken. The company continues to do well. It’s well positioned to continue to thrive even in a post ABI/SAB world. So you should not expect any major transaction any time soon in terms of our Heineken shares.
Operator: Our next question comes from Chelsea Konsko with TIAA.
Chelsea Konsko: Just one quick follow-up on the U.S. dollar debt exposure. According to your press release, it shows about 25% of total debt in dollars. That's about $1.2 billion by my calculations. And you mentioned like $650 million. Is that net of cash held in U.S. dollars?
Eduardo Padilla: Correct.
Chelsea Konsko: Is that the discrepancy here?
Juan Fonseca: No, that’s correct, that’s net of dollars that we have on the cash.
Chelsea Konsko: Okay, and is there any internal limit related to that of FEMSA?
Juan Fonseca: We're pretty much there. I mean Coke FEMSA has something like what -- the percentage of how much debt they can have in dollars is basically where they're right now and we usually have no open dollar exposure at the FEMSA levels. So you should not expect that to increase. Let's say from the $700 million that they were three months ago in terms of net exposure, I think those are the levels that you should expect, not higher than that.
Chelsea Konsko: Okay. And where did you say the variable rate debt is held, what currency?
Juan Fonseca: Most of the debt is fixed in terms of the rate.
Chelsea Konsko: Is it about 20% variable?
Roland Karig: This is Roland, Chelsea, and most of the variable rate exposure that we file should be connected to the Brazil -- to the swap debt that we did in Brazil in reais.
Operator: Ladies and gentlemen, that is all the time we have for questions today, I will now turn the conference back to Mr. Padilla to post any additional questions or remarks.
Eduardo Padilla: No. I am fine thank you. Thanks for your attention. Thank you very much.
Juan Fonseca: Yes, thanks for being on the call, guys. Talk you soon. Bye-bye now.
Eduardo Padilla: All the best.